Operator: Welcome to Camurus' Q3 Report 2025. [Operator Instructions] Now I will hand the word over to CEO, Fred Tiberg, please go ahead.
Fredrik Tiberg: Thank you so much, Einer, and hello, everyone. Welcome to our third quarter earnings call. It's a beautiful autumn day here in Lund, Sweden, where we are sending this from. I will assume that you have read our forward-looking statements going forward here. So the agenda for the call today is as follows: we start with third quarter highlights, move on to financial and commercial performance reviews, followed by an update on R&D and then we'll finish off with the key takeaways and Q&A. With me on the call today is Anders Vadsholt, Chief Financial Officer; and Richard Jameson, Chief Commercial Officer. During the quarter, Camurus delivered strong profitability, continued progress on pipeline programs and prepared for the launch of our next commercial product. Starting then here with some highlights on the financial side. Our quarterly revenues increased by 18% year-on-year, 25% at constant exchange rates to SEK 575 million driven by higher Brixadi royalties. Profitability remains strong. We're growing 48% to SEK 245 million, increasing our cash position to SEK 3.5 billion. We maintained our profit guidance. However, due to the headwinds we have had, we have lowered our full year revenue guidance. The commercial performance in the quarter was mixed, you can say. Buvidal sales in Europe slowed down temporarily, primarily due to ongoing funding issues. While Brixadi reported double-digit sales growth quarter-to-quarter. In parallel, we prepared for the launch of Oczyesa in the European markets. This has been progressing very well. On the R&D side, marketing approvals for Oczyesa was received in the U.K., and we also updated the NDA draft for the Oclaiz submission. This is pending completion of an inspection of the contract manufacturer. We were also granted 2 new orphan drug designations of CAM2029 in autosomal dominant polycystic kidney disease. And in addition, the treatment was completed in the Phase Ib trial of our monthly semaglutide formulation, CAM2056. So all in all, the third quarter has presented both challenges but also very important successful developments and progress. And with this, I leave the word over to Anders to review the financial performance of the quarter more in detail.
Anders Vadsholt: Thank you, Fredrik. It's a pleasure to provide the first financial update after joining Camurus in July. I'm generally pleased with the financial performance in the third quarter. Camurus reported SEK 567 million in revenue for the quarter, reflecting an 8% increase compared to the same period last year. Year-to-date, the reported revenue is SEK 1.8 billion, representing a 37% growth from previous years. Product sales reached SEK 455 million, an increase of 8% compared to the same period last year, but a decline of 3% compared to previous quarter. We have experienced stable end market growth throughout the year, but the distribution model has caused some deviations in the timing of revenue recognition. Brixadi sales in the U.S. generated SEK 111 million in royalty income for the quarter, up 91% compared to the same period last year and a 25% increase from the previous quarter. The company's profit before tax was SEK 245 million, representing a 43% profit margin in the quarter and a 48% increase in profit compared to the same period last year. The profit margin year-to-date is 45%. The profit after tax for the quarter was SEK 193 million, representing an earnings per share after dilution of SEK 3.19. Moving to the P&L. The company's gross margin was 93.1% for the quarter. Total operating expenditures were SEK 298 million, 2% reduction compared to the same period last year. The main components were increased our investment in marketing and distribution by 27% to SEK 142 million to support market penetration, expanding Buvidal into new markets and building our U.S. operation. Recruitment of the U.S. sales force has been aligned with the new time lines for the launch of Oclaiz. Administrative expenses increased by 49% to support company growth and development, mainly in the U.S., reaching SEK 40 million compared to the same period last year. And then R&D investments were SEK 109 million, a reduction of 33% compared to the same period last year. This is mainly due to the completion of ACROINNOVA trials and the absence of trial -- clinical trial milestone payments in the SORENTO and POSITANO programs during the quarter. Looking at the cash flow for the quarter. Camurus increased its cash position by SEK 167 million, mainly driven by the operational activities, adding SEK 221 million and proceeds from the employee stock option program, adding SEK 43 million. Working capital investments decreased cash by SEK 97 million, resulting in a net cash position of SEK 3.5 billion, which is an increase of 28% compared to last year. Moving to the update of the 2025 financial guidance. Despite positive development in Brixadi and Buvidal, revenue do not live up to our previous expectations and guidance for the full year is primarily due to Brixadi U.S. revenues below the previous projections and there's uncertainty about the timing of a sales milestone. In addition, we have seen continued delays in allocation of committed governmental funding for the treatment in the U.K. But importantly, our profitability has continued to develop positively with good financial discipline across the organization and our planned U.S. expansion has been aligned with the updated approval timeline for Oclaiz. As a consequence, our restated full year 2025 outlook is as follows: our revenue guidance is lowered to SEK 2.3 billion to SEK 2.6 billion, and the profit before tax is unchanged in the range of SEK 0.9 billion to SEK 1.2 billion. So nevertheless, Camurus ended the third quarter with a healthy financial position, promising outlook for continued growth, profitability and pipeline progress. With that, I would like to hand over to Richard.
Richard Jameson: Thank you, Anders. I'll start with the Camurus market. So net sales for Buvidal in the quarter were SEK 455 million, up 8% year-on-year or 15% at constant exchange rate. Versus Q2, sales were down 3% primarily due to the lower-than-expected orders in the U.K., which also led us to reduce inventory levels. In contrast, underlying in-market sales grew 3% versus Q2 and are 21% year-to-date driven by maintained growth in Australia, Norway, France and Spain, as we continue to execute on our plans while we saw a flattening of growth in the U.K. and Germany due to 2 main factors. In the U.K., there are ongoing delays in allocated funding reaching community clinics. However, growth began to accelerate in the criminal justice setting as allocated NHSE funding for long-acting injectable buprenorphine treatment in prisons has become available. In Germany, resistance to uptake remains due to the ongoing remuneration of physicians based on daily visits. Year-to-date in-market growth is positive, around 20% across markets with the exception of Finland, where growth was single digit due to the high penetration we have there. There continues to be high demand from patients and physicians for long-acting injectable buprenorphine and we continue to support this through active programs that build awareness of the benefits the product brings to patients and wider society. This in turn is increasing demand for wider accessibility and is expected to deliver renewed growth in 2026. So on the next slide, I'll share more detail of our ongoing strategy for improving patient access. We are continuing to grow the real-world evidence base and develop economic models that demonstrate the improved outcomes and the value long-acting buprenorphine brings over daily treatments. The economic models, of which there are some publications on the left-hand side of the slide, clearly demonstrate the positive value of treatment with LAIB, typically showing a more than 3x return for governments. These data and models are a critical part of our initiatives to improve access through a government affairs program that is engaging a wide group of policy stakeholders who will benefit from improved access to these innovative treatment options. As a result of these programs, we're seeing growing demand in criminal justice settings and the need for the community -- continuity of care on release, alongside support to address funding in community settings. This has already resulted in some success, including allocation and distribution of funding from the criminal justice setting in the U.K. that I mentioned earlier, and regional funding expansion in France. We also understand good progress is being made on alternative remuneration models in Germany that would address this key hurdle for Buvidal. The success of this activity is critical to expand the use of Buvidal in these markets in 2026. Now moving across to the U.S., Brixadi had a strong quarter, as you've already heard, with royalties growing 25% versus previous quarter and 91% year-on-year. Brixadi continues to outgrow the market and has reached an approximately 30% share of the long-acting buprenorphine segment, which in itself is growing 25% year-on-year and for the first time, reached annualized sales of USD 1 billion. In the U.S., Brixadi represents a significant opportunity for future growth through penetration of the sublingual buprenorphine market with an estimated 1.8 million patients in treatment and with further potential in the criminal justice setting. Brixadi has a clear and differentiated profile and Braeburn are successfully navigating the challenges in the OUD treatment market. So overall, we remain optimistic about the prospects for Brixadi in the U.S. and the potential for significant growth in the coming years. And on this, I'll hand back to Fredrik.
Fredrik Tiberg: Thank you, Richard. So let's move over to a quick pipeline update. So starting with the progress of the Octreotide depot programs for acromegaly, gastroenteropancreatic neuroendocrine tumors, GEP-NET and polycystic liver disease, PLD. So as you know and have heard before, we have a large clinical program for CAM2029, which represents a major investment and a future potential for Camurus. In acromegaly, we have successfully completed the ACROINNOVA program delivering positive results from 2 pivotal Phase III trials as well as long-term extension study. In GEP-NET, we advanced the SORENTO trial towards the improved important readout of the primary efficacy results in 2026. Finally, we received complete -- we recently completed the POSITANO study in PLD, also that with positive results for the primary end point. I will start here with an update of the SORENTO study in GEP-NET. This was recently discussed at a well-attended scientific symposium at the North America Neuroendocrine Tumor Society meeting in Austin, Texas where it rendered significant attention among the participating physicians and other health care providers. The topic of the symposium was dose optimization of somatostatin receptor ligands, which is the efficacy driving hypothesis behind the SORENTO trial. So Chair of the symposium was Dr. Jennifer Chan, President of NANETS and presenter was Simron Singh, University of Toronto, who is the President elect of NANETS, actually now the President of NANETS, both are SORENTO study investigators and steering committee members. The conclusion of this discussion was that there is very high hopes and good prospects for SORENTO and CAM2029, of course, providing positive outcomes. Patient recruitment in SORENTO started already in Q4 2021, which means that the first enrolled patients have now been in treatment for about 4 years, in many cases, without disease progression. The study was fully recruited at the end of 2023, as all patients have been assessed for about 2 years or longer. So far, the experiences from the trial are generally very positive in terms of patient feedback and the projections for completing the randomized efficacy part of the trial has been extended based on the lower than predicted rates of progression-free survival events during the past few months. We recently completed a new analysis of the accrual rates in the study and based on the trends, we have updated the projections for reaching the 194 events for the study to mid or second half of 2026. From a CAM2029 and study outcomes perspective, the adjustments should be positive while also extending the time to primary results. To put this in perspective, I would like to highlight the study design and patient population that is part of the SORENTO trial. So compared to previous studies of tumor progression, SORENTO is a randomized active control study with the primary objective to assess the superiority in progression-free survival for treatment with CAM2029 versus standard of care with first-generation somatostatin receptor ligands. It is indeed the largest ever study of SRL performed in patients with neuroendocrine tumors and majority, and this is an important point of the patients, SORENTO has advanced grade 2 or grade 3 neuroendocrine tumors at baseline compared to no or the minor portion of patients in the earlier tumor controlled trials, PROMID and CLARINET. The progression-free survival for the blinded population in SORENTO should be viewed in the context of the study population, which makes us optimistic about the study prospects. Moving over to PLD. During the quarter, we continued analyzing data from the POSITANO trial in preparation for an end of Phase II meeting with the FDA planned for early next year. Furthermore, CAM2029 was granted orphan drug designation for autosomal dominant polycystic kidney disease, ADPKD, both in the U.S. and EU during the period, pointing to the high unmet medical need in this indication. Importantly, this can also expand the future orphan drug exclusivity to PLD arising from ADPKD. So that is significant progress in itself. Finishing off with the acromegaly indication, Oczyesa has now been granted market authorization for the treatment of acromegaly in both EU and the U.K. For the U.S., the NDA has been updated during the quarter and is ready for resubmission as soon as we have received green light from an inspection at the contract manufacturer. Please remind you said that there was nothing in the CRL from the FDA that was related to the product itself or its clinical or safety data. Based on our plans for resubmission, we expect a new PDUFA date and a potential U.S. launch of Oclaiz in the first half of 2026, which will, of course, be an important event for us. In parallel, we are preparing for launches of Oczyesa in Europe, the first monthly subcutaneous octreotide medication in the market, enabling convenient self-administration for patients and enhanced octreotide plasma exposure. The European launch has been has now been initiated in the Wave 1 countries with an estimated 3,000 to 5,000 acromegaly patients currently treated with first-generation long-acting somatostatin receptor ligands. The response to the Oczyesa profile from physicians and patients has so far been very encouraging with a positive view both on this and clinical data and market research that we have performed in the area show a high willingness to switch to Oczyesa from current somatostatin receptor ligands. In addition to this, we have also had positive initial feedback from payers. So as you may have seen from the announcement earlier this week on Monday, Oczyesa has now been launched in Germany as the first country in Europe and globally. And our medical affairs and sales team are now out in the field. Germany represents a substantial opportunity with about 2,000 patients currently in treatment with first-generation somatostatin receptor ligands and with an annual sales potential of over EUR 50 million. A recently performed physician survey suggests that about 30% to 60% of these patients are initially considered suitable for switching to Oczyesa. Obviously, GEP-NET represents a much larger opportunity, however, acromegaly is, of course, a great starting point here. Alongside the advances of the CAM2029 program, we have also completed treatment of the last patient in the Phase Ib study where monthly semaglutide formulation, CAM2056 based on our FluidCrystal technology. We now expect to provide top line results this month. We'll focus on tolerability and of course, importantly, efficacy indicators such as body weight and HbA1c. In addition, we progressed our strategic partnership with Eli Lilly for the development and commercialization of long-acting incretins in the cardiometabolic area, including GLP-1, GIP dual agonists and GLP-1, GIP glucagon triple agonist. And we are naturally very excited about progressing this collaboration. So with this, I think it's time to finish off with some key takeaways of the quarter. In summary, we had a good quarter as you have heard, not without challenges. However, we did significant advances and progressed and expanded our business, delivering strong profitability and cash flow, stable Buvidal sales in Europe and Australia. I think our team are doing an excellent job also with regards to the future development in the market. Notably, Brixadi had another good quarter in the U.S., outflowing the rest of the market. In addition, for Oczyesa in acromegaly, we received the U.K. approval and prepared the launch in Germany. And also, as I mentioned recently here, we advanced our promising long-acting incretin pipeline. With this final note, I think it's time now to move over to Q&A. So please Einer, take over the call.
Operator: The first question is from Viktor Sundberg from Nordea.
Viktor Sundberg: So I had a question first on Buvidal. I just wondered if you could provide any more details when you expect funding to be released to clinics and when the market could turn around in the U.K. I mean just trying to get a feel for if this could spill over into Q4 as well or into early 2026 or how we should model this impact?
Fredrik Tiberg: Yes. I will leave that over to Richard.
Richard Jameson: Yes. I mean funding is coming in drips and drabs. There are some areas that are having funding now, others less so. So I can't guess what the government would do, but we hopefully will see some advances in Q4 and then moving into 2026 as well on that. I mean, it is growing the U.K. market. We are getting more patients. It's just slower than we anticipated.
Viktor Sundberg: And also I had a question as you have launched Oczyesa now in Germany. Could you comment maybe how it's priced versus the other injectable depot formulations on the market?
Fredrik Tiberg: Yes. I think you could estimate that is priced at the high end of the SANDOSTATIN reference products. So just -- so I think it's official price now.
Anders Vadsholt: It's just under EUR 3,000.
Fredrik Tiberg: Yes, just under EUR 3,000 per dose. Next.
Unknown Analyst: Can you hear me?
Fredrik Tiberg: Yes, we hear you.
Unknown Analyst: A couple of questions on my end. The first one is for Buvidal in Europe. How many net patient additions were there in Q3? And are there any additional markets that recently came into play, for example, think of Portugal that can support the future growth while the issue in U.K. and Germany persists.
Fredrik Tiberg: Yes, certainly. I mean we reported a number of patients, 67,000. But Richard, maybe you can comment on the growth in the additional markets, Spain and...
Richard Jameson: Yes. I mean everyone making contribution, we grew 2,000 patients between quarters this time. Portugal, yes, is really to come on. It's early days in that market. So we'll wait to see that. But yes, they will provide an opportunity for us as we move forward to grow the numbers of patients in treatment.
Fredrik Tiberg: And we're seeing positive trends also in Spain where we are seeing big potential. And of course, we have further countries, including the Northern European part. Maybe this should also be put into the context of the dynamics of other movements in the Nordic markets and elsewhere, but it looks -- there is good growth potential.
Unknown Analyst: Okay. Got it. And then maybe another one on Brixadi in the U.S. At last update, I think it was on Q4 last year. The numbers showed roughly 25% market share for Brixadi in the LAI market. Now it stands at 30%. Is this the market share of new patients switching from sublingual buprenorphine to LAI.
Fredrik Tiberg: I think -- I mean the main components, and we have talked about that for quite some time is that most patients are coming from sublingual buprenorphine, of course. And depending on the relative growth in that segment, this will, of course, impact the market share between different products. So I would say the majority of the share is coming straight from sublingual.
Unknown Analyst: Okay. I mean, the reason why I'm asking this is last week Indivior reported a 75% market share. So I was just wondering on which metric you base this 30% market share.
Fredrik Tiberg: So we have done -- used several different metrics, we should say, or different data sources and all of them converge into 30%. And that includes both public sources and also other sources that we have access to.
Operator: The next question is from Richard Ramanius from Redeye.
Richard Ramanius: I have two questions on the guidance for this quarter. So I'll just read both questions straightaway. In your Q3 report, you guided for around SEK 650 million R&D costs in 2025. And also this was dropped in the Q3 report, so is this because the expected costs will be lower this year. Is this because you overestimated costs because some costs will be postponed into 2026? And my second question is you lowered the guidance, should we say, implicitly from Braeburn since you don't expect the milestone, which I assume is revenue-based. Is that because of stronger U.S. competition or other market dynamics or both?
Anders Vadsholt: Yes. So shortly, so we're not pushing costs ahead of us. Of course, there will be something that are a bit delayed, but there's also been a number of savings in the R&D department. We're doing a tech transfer and so on. So it is cost reductions and then some of the costs will come into 2026. So it's a mixed situation here. But it will be lower for the year.
Fredrik Tiberg: Can you repeat? I missed the second question, sorry if we're not answering that.
Richard Ramanius: Sure no problem. Implicitly, you guided for lower revenue for Braeburn since you do not longer assume the milestone payment, which I assume, is related to revenues. Is that because of strong U.S. competition or just because of market dynamics?
Fredrik Tiberg: I think it's mainly market dynamics. It's been -- I mean, we were expecting -- we had, of course, very high expectations on the year, and those have come gradually down. But I think the good news is that we have seen a very good recovery here, especially now also consistent recovery. So -- but this -- in total, this has led to the milestone being at risk, which of course, it was not in the early phase of our assessment.
Operator: The next question is from Shan Hama from Jefferies. I think actually, it's Romy O'connor. it's not Shan. So Shan, if you can queue up again.
Romy O'Connor: I have one question. I was wondering if you could provide more color on your manufacturing expansion efforts in the U.S. I know you're planning further investments to deploy U.S. operations for acromegaly. I'm just wondering what your thinking is for GEP-NET next year and what your sales force will look like there?
Fredrik Tiberg: Yes. I mean in terms of manufacturing, we have talked about that last quarter. All of those processes are advancing. Obviously, we have our current sources that we need to secure future supplies, especially then when GEP-NET comes up. So that's an important part of the further development of GEP-NET, and that is progressing perfectly according to plans. So that's, yes, positive.
Romy O'Connor: And then just maybe one more quickly. I was just wondering if you could share a bit on your future outlook for the Australian market with Buvidal because now you've reached 80% share, I think, of the LAIB market? Do you think this is reaching a plateau? Or do you see future growth here?
Fredrik Tiberg: Richard?
Richard Jameson: Yes. I mean Australia continues to grow well. We have about 30% share of the total market now, as you said, above 80% of the long-acting segment. We still see that demand in Australia. We still see it growing. There's a lot of people still on sublingual that are interested in moving across. And of course, methadone is a large segment as well, and we're seeing increasing numbers moving across methadone because the advantages long-acting brings. So we anticipate continued growth in Australia.
Operator: Now we have Shan Hama from Jefferies.
Shan Hama: Just two questions from me. I'll take them one at a time. So on the SORENTO readout. Obviously, you know this has been pushed to sort of late 2026. It makes sense that this is because of the time to approve that. But are there any concerns that the control arm maybe outperforming such as, for example, when evobrutinib's Phase III study read out and Aubagio surprisingly outperformed.
Fredrik Tiberg: Well, I mean, you can never come with guarantees on these things. So -- but in terms of -- obviously, we are using the literature reference data. We are trying to compensate for populations and population characteristics and so forth. There is nothing new that has happened in terms of the standard of care changing -- in terms of treatment changes and so forth. So I think we should -- this should not be the case, but you can never be sure, 100%. But I think our view is on this is and that's also our physicians input is that there has not been any material changes into the treatment regimen for the standard of care. So it's about trying to understand the different data sources. And I think we have a good indication.
Shan Hama: Understood. And then just for my second question, could you just tell us what Braeburn communicated with respect to the criminal justice channel and the dynamics that will occur during 3Q on both state and federal side? And then what would it look like for 4Q?
Fredrik Tiberg: Well, I mean, that leaves me with -- I'm sorry that because of the competitive situation, but also because of our contractual situation, I'm not able to go into any details on this note at this moment, Shan. I would, of course, want to, but I cannot fill you in on this.
Operator: The next question is from Georg Tigalonov-Bjerke from ABG.
Georg Tigalonov-Bjerke: I have a couple. So first, I was wondering whether you or Braeburn has seen any price pressure for Buvidal or Brixadi lately? And secondly, your competitor, Indivior, for example, at their Q3 reporting last week, they highlighted that Sublocade has a unique offering in the long-acting category in terms of rapid induction, i.e., a second monthly dose injection after 1 week. So of course, Indivior has a history of quite aggressive marketing. So I'm curious if you are able to comment whether or not you think this is an actual significant distinguishing factor versus Brixadi seeing as Brixadi allows for weekly initiation with the weekly dosed injections.
Fredrik Tiberg: Well, to the first question about price, I don't think we have heard about any price pressure in the U.S. I mean it's -- obviously, the whole system has -- price is an important -- increasingly important component. But I haven't heard of anything specific there or anything that is concerning to us. When it comes to the rapid initiation with Indivior's product, I don't prefer to kind of make judgments versus a colleague in the market here. I think it probably has some advantages for them. I think we have a very good treatment regimen as it is. We have the transfer doses from sublingual, which is the most important market for us. We have the weekly start. So we have all of this under control. We have -- it was conducted a big study in emergency centers in the U.S. with over 2,000 patients using the weekly starts as a very successful measure to taking over patients from in hospital treatment to outpatient treatment. So -- and plus it's used very regularly in the system. Do you have any further to say that, Richard?
Richard Jameson: Yes. To add to that, I mean, some of the feedback from some of the core research we've seen from various groups is that patients like to start with weekly because they want to understand how it feels to be like on a long-acting before they commit fully to a monthly treatment. So I think the patient preference is for a month -- for a weekly initiation and our experience in Europe shows that.
Fredrik Tiberg: I think most -- and most importantly, of course, we still see that we have -- I mean, it appears that we're -- our partner is doing a good job in the U.S. We are progressing CAM2020 -- sorry it's 38. We're progressing Brixadi nicely in the U.S. based on our competitive profile. And I think that holds a lot of advantages compared to other products in the market.
Operator: And the next question is from Suzanna Queckbörner from Handelsbanken.
Suzanna Queckbörner: Suzanna Queckbö here, Handelsbanken. I have another question on Buvidal. So you have your target for 2027 of reaching 100,000 patients. With the last few quarters of 2,000 patients net addition, we need to substantially accelerate to reach that going forward. Perhaps you could comment on how you think about that? And then also, is that possible in the markets that you currently have? Or will you need to make -- I mean address the regions where we've had budget constraints differently.
Fredrik Tiberg: Yes. First, I mean, we still retain our vision for 2027 also in regards to 100,000 patients. Obviously, there are challenges and opportunities. Maybe, Richard, do you want to go into your thinking around this?
Richard Jameson: Yes. I mean it's not necessarily a linear approach as we create successful arguments to increase access, where you can see acceleration there. And we've got a number of processes that are ongoing in discussions with various groups that could still bear fruit to that. And our ambition is to achieve it. And I think we have to remember that we still have relatively low penetration in this market at about 10% of patients. So there's still plenty of opportunity to grow the business, and we can if we can resolve the funding issues and the hurdles we faced, which we're on track to do.
Fredrik Tiberg: And I think adding to that, I mean, obviously, we have great teams working in various different everything from government affairs to direct contacts with the medics and so forth. And we generally have a very positive feel. But as Richard says, it will not be a linear curve up to the goal, and it will be a lot of hard work, but we retain our vision, and we are working hard to achieve it.
Suzanna Queckbörner: Very good. And then a follow-up on the Eli Lilly deal. In the initial press release, you didn't mention anything regarding amylin, but there was opportunity to expand. Can you maybe just give us a little bit more on what progresses have been made recently and how you think about other incretins?
Fredrik Tiberg: I can't give you any update because it's outside my remit, so to speak. But yes, I mean, obviously, they have an option to amylin and usually, an option has a timely limitation coupled to it. So that's one of the components of our collaboration, which I think you can very nicely say that right now, it's progressing very well. But I can't give you any details on that beyond those 2 comments.
Operator: The next one is from Dan Akschuti from Pareto Securities.
Dan Akschuti: Just one more question. That is regarding 2056 as well. If you can share just some more details that you -- what you're expecting from the data readout this month and what you will be able to share in terms of detail of the data? Will it be just a press release with some top line or will you share a lot of graphs and details on PKPD, et cetera?
Fredrik Tiberg: Yes. First of all, I think it's important to know the study design. So basically, design is one part which is a randomized part versus semaglutide. So the monthly versus the weekly. And then there is a second part of the study, which is basically a dose escalation part. So we're going from low to high concentrations of very high concentrations. So obviously, we will report comparative data focusing on the -- obviously, tolerability profile is important, weight and PD readouts in terms of HbA1c and so forth. So the traditional measures. It will most likely be provided in a press release form with some data points, key data points and then later on, we'll likely follow up with more detailed information about the product results. But -- so I think that's the order of that. But what is unique with this study is, of course, that we have an active comparator. I think it's not that usually that if you go into a Phase Ib study with an active comparative. So it will be an interesting readout from the study with, I think, clear potential to demonstrate something of relevance. That's how far I can...
Operator: We have a follow-up from Shan Hama from Jefferies as well.
Shan Hama: Just one more for me very quickly. Can we expect CAM2056 to be press released this month then? And could you just speak to how detailed that release will be? I know it's only Phase I, but any sort of color would help?
Fredrik Tiberg: Yes. I mean, absolutely, our intention is, according to the current time lines and so forth, our intention is to be able to press release it this month. And the data, I mean, we will -- I think you can anticipate about the same level of detail as you see from other pharmaceutical companies working in the space for a Phase Ib trial or early Phase II trial. So I think that you should expect that level of detail approximately.
Operator: There are no more questions at this time. So I hand the word back to you, Fredrik, Anders and Richard for closing comments.
Fredrik Tiberg: Okay. Thank you so much. And I just want to say, of course, thank you very much for joining into this call. It's a pleasure to have interest from you all and engaging questions. And I look forward to meeting you all on the road or at our next call in Q4 -- the Q4 report. And with that said, thank you again, and we can close the call.